Operator: Good morning, ladies and gentlemen. Thank you for standing by. I’d like to welcome everyone to the Canaccord Genuity Group, Inc. Fiscal 2022 Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  As a reminder, this conference call is being recorded, broadcast live on the Internet. I would now like to turn the conference call over to Mr. Dan Daviau, President and CEO. Please go ahead, sir.
Dan Daviau: Thank you, Operator, and thanks to everyone for joining us for today’s call. As always, I’m joined by Don MacFayden, our Chief Financial Officer. Following the overview of our fourth quarter and fiscal 2022 results, both Don and I will be pleased to answer questions from analysts and institutional investors. Today’s remarks are complementary to our earnings release, MD&A and supplemental financials, copies of which have been made available for download on SEDAR and on the Investor Relations section of our website at cgf.com. Within our updates, certain reported information has been adjusted to exclude significant items in order to provide a transparent and comparative view of our operating performance. These adjusted items are non-IFRS financial measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS financial measures that appears in our investor presentation and also in our MD&A. Despite the abrupt broad market turned down that began in January, we delivered a solid financial performance in both our fourth quarter and fiscal year, driven by continued growth from our wealth management divisions, very strong activity levels in our advisory segment and a strong performance from our Australian business driven by mining sector financings. With the benefit of our clear strategy and targeted investments to strengthen reoccurring revenue streams, while increasing contribution from higher margin activities, we achieved our sixth consecutive year of revenue and earnings per share growth. Revenue for the three-month period amounted to $500 million, bringing your full fiscal year revenue to a new record of $2 billion, a year-over-year increase of 2%. Excluding significant items, fourth quarter diluted earnings per share was $0.52, which contributed to a new record for our full fiscal year diluted EPS of $2.51. Looking at expenses, we continue to benefit from enhanced cost savings driven by pandemic-related restrictions on travel and entertainment, and we are maintaining a strong focus on cost discipline measures as in-person meetings and client events resume. On an adjusted basis, fourth quarter non-compensation expenses as a percentage of revenue increased by 4 percentage points to 21%. Despite this modest increase, our full year ratio was lower on a year-over-year basis at 18%, which is relatively consistent. Adjusted compensation expenses as a percentage of revenue amounted to 61% for the fiscal year. Turning to capital allocation. Our Board of Directors has approved a quarterly common share dividend of $0.085 for the fourth fiscal quarter, contributing to a full year dividend payout increase of 28%. Through our capital deployment initiatives, which include common share dividends and share buybacks, we returned $176 million to our shareholders over the fiscal year, which represents an amount equal to over 57% of our adjusted net income for the 12-month period. With that, let’s turn to the performance of our operating businesses. Our combined global capital markets business earned revenue of $312 million for the fourth quarter and $1.3 billion for the fiscal year. Over fiscal 2022, we helped raise $61 billion for growth companies, our second highest performance on record. The broad market decline in ECM activity that had been anticipated for some time began in our fourth quarter and we expect it will persist for several more months. Investment banking revenue of $95 million for the three-month period represents a 64% decrease from the unprecedent record level in the same period a year ago, driven by contraction in M&A activity. I will note that this is still a strong result when compared to historical averages and reflects our enhanced market position in our chosen focus areas. Our Australian business was an outlier in the segment, with fourth quarter revenue increasing 29% year-over-year to $62 million, driven by a 25% increase in investment banking revenue. This was the strongest quarter on record for this business. Personally offsetting the decline in investment banking revenue that impacted all the other geographies, total advisory revenue for the three-month and 12-month period increased by 86% and 153% year-over-year to $122 million and $489 million, which is a full year record for this segment. This compares favorably the industry-wide global completed advisory fees, which over the three-month period increased by 8% versus the same period a year ago. The most substantial contribution came from our U.S. business, which increased advisory revenue by 195% for the fourth quarter and 219% for the fiscal year to a record $317 million. I will note that the adjusted pretax net income contribution from our U.S. business has grown substantially, amounting to a new record of $158 million for fiscal 2022. For context, prior to our initial investment to grow our advisory business in 2019, this business was operating near breakeven. Looking forward, we expect further enhanced contribution from our recent acquisition of Sawaya Partners, which has been performing in accordance with our expectations. Our Canadian and U.K. and Europe capital markets business also increased advisory revenues for the fiscal year by 66% and 118%, respectively. Finally, fourth quarter revenue from our combined trading business was down 36% year-over-year, but increased 24% sequentially, reflecting increased volumes in the three-month period. While new market realities point to a difficult period ahead for our industry, we see no reason to retrench from our commitment to fully supporting growth companies and investors. Regardless of the market backdrop, we are driven to identify the clients who need us most and do everything to support them. Despite difficult market conditions, client engagement continues to be very strong by historical standards. Our investment banking pipelines are healthy across sectors and regions, but the conversion from pipeline to realize will be largely dependent on market conditions. Similarly, M&A activity remains strong, but advisory completions are likely to be extended as we navigate bouts of market volatility. And finally, our trading businesses are positioned for excellence in the face of any broad market volatility. We will execute for our clients just as we did through the unprecedented volatility at the onset of the COVID-19 pandemic. Our global wealth management businesses continue to deliver an impressive financial performance. Client assets at the end of the fiscal year amounted to $96.1 billion, a year-over-year increase of 8%, but a modest decrease from the high reached in our third fiscal quarter, reflecting lower market valuations at the end of the 12-month period. Our combined wealth management operations earned revenue of $174 million for the fourth fiscal quarter, a year-over-year decrease of 13%. This was primarily due to the anticipated reduction in new issue activity, which flows through our North American Wealth business. Revenue for the fiscal year amounted to $720 million, an increase of 9% compared to the prior year. Notably, commission and fees increased by 12% to a new record of $587 million for the fiscal year, reflecting record contributions from all geographies. Excluding significant items, our combined global wealth management business recorded pretax net income of $149 million, a year-over-year increase of 10%. In the U.K. and Crown Dependencies, our integration of Adam & Company is progressing nicely, and we recently completed the acquisition of Punter Southall Wealth. This supports our priority of increasing the scale of both our financial planning and investment management businesses. Revenue for this business amounted to $80 million for the fourth quarter and $310 million for the fiscal year, increases of 7% and 12%, respectively, primarily due to higher commissions and fee revenue and interest income attributable to the higher interest rate environment. Following the completion of the PSW acquisition, HPS increased their investment through the purchase of a new series of convertible preferred shares of this business in the amount of $110.5 million. With this investment and with the small equity component to be issued in connection with the acquisition, the company will hold an approximate 67% equity equivalent interest in CGWM UK. Despite this modestly lower interest, we expect the benefits of increased scale in combination with organic growth initiatives will drive continued growth of the financial contributions from this business. While lower new issue activity led to softer revenue and net income contributions from our Canadian business, client assets have continued to strengthen, amounting to $38 billion for the end of the fiscal year, an increase of 18% from the same period last year. Over fiscal 2022, the average book per advisory team grew 17% year-over-year to $260 million and this team also continued to grow discretionary assets under management by 35% compared to last year. The recruiting environment in Canada has become increasingly competitive, but we’ve continued to attract talented teams who see differentiated opportunities to grow their business with CG. This business was also recently recognized as a top ranked Canadian Wealth Management Firm in a National Survey of Investment Advisors. And finally, our Australian Wealth business continues to grow client assets and related revenue, benefiting from its alignment with a leading capital markets business in the region. This business earned revenue of $18 million in the fourth quarter and $75 million for the fiscal year, year-over-year increases of 3% and 20%, respectively. Commission and fee revenue for the fiscal year reached a new record of $58 million, an increase in 12% compared to the prior year. The number of investment advisors in this business increased by 5% year-over-year, reflecting strong recruiting momentum. Whether through acquisitions or recruiting, the businesses and professionals that join CG Wealth Management have been able to unlock greater value on our platform, which is driving organic growth opportunities in all of our regions. Looking ahead, we will continue to explore a range of opportunities for profitable growth in this important segment. In closing, while M&A pipelines have continued to deliver and our wealth businesses continue to provide a source of stable reoccurring revenue, we do not expect fiscal 2023 to resemble 2022 or 2021. Alongside our clients, we are navigating a challenging and uncertain backdrop, which includes rising interest rates inflation, a continuing tightening of monetary policy, and ongoing market and trade disruptions driven by the devastating war in Ukraine. Having said that, we’d begin fiscal 2023 with the confidence that our business has stronger downside protection than any time in our history. Just as our recent successes were many years in the making, we’ve spent years shaping our business to deliver predictable performance for our shareholders in uncertain times. Our strong and properly managed balance sheet supports our ability to deliver market leading services for our clients, while maintaining ample liquidity and flexibility. Consistent with what we’ve done in the past, we’re using this challenging period productively to further entrench our position as the leading independent wealth management and capital markets business dedicated to the needs of growth companies and investors. We see several opportunities to increase our relevance in our core focus areas and we are seizing opportunities for targeted and discipline growth. With that, Don and I will be pleased to take your questions. Operator, can you please open the lines?
Operator: Thank you, sir.  Your first question comes from Jeff Fenwick of Cormark Securities. Please go ahead.
Jeff Fenwick: Hi. Good morning, everybody.
Dan Daviau: Good morning, Jeff.
Jeff Fenwick: So, Dan, just wanted to start the questions here with Australia. I mean, it’s been a nice bright spot for Canaccord on both aspects of the business, wealth and capital markets. Can you just remind us in the capital markets group there, I know a pretty significant amount of the revenue is driven from broker warrants and then some equity awards that you get when you do work with the different issuers down there?
Dan Daviau: Yeah.
Jeff Fenwick: What does that mix kind of look like? Are you attending to crystallize on that that revenue or is there some risk of mark-to-market here, if some of these things sell-off in future quarters, like how should we think about that?
Dan Daviau: Yeah. The -- I mean, we’ve managed through the similar scenario in Canada in the past, as you know, like with broker warrants bouncing around and we tend -- we do tend to try and monetize them as quickly as rationally possible, often you’re restricted on them, from time-to-time you’ll have insider information on them and you just can’t trade them. So you don’t have perfect liquidity. This last year was better than the year before, hard to look at it quarter-to-quarter, but in terms of cash fees versus stock fees, so to speak, unrealized stock fees, we don’t pay out on stock fees until they’re sold. But they do get, there’s obviously provisions for compensation on them as well and we mark them down substantially, as much as the auditors will let God do. So we do take big provisions for them regardless. So, hopefully, the volatility is muted. It’s not going to be zero. But it’s muted relative to what the actual volatility is. In busy markets, those positions expand and in busy markets that are going up, they expand and become more valuable. So there is volatility in those resources and those results, we can’t avoid it. We are actively monetizing them both pre the quarter and certainly post this last quarter. We monetized a bunch more of them. So that’s kind of the -- and I’d give me a split, I wouldn’t really give you splits, Jeff, but I can’t give you splits, because it bounces…
Jeff Fenwick: Okay.
Dan Daviau: … around all the time. Some quarters it’s zero, some quarters it’s 30%, right? It kind of moves around a lot.
Jeff Fenwick: Yeah. And I guess that was kind of what I was driving to because it was such a strong quarter on the revenue line there. I wasn’t sure if you were…
Dan Daviau: Yeah. But we did to…
Jeff Fenwick: 
Dan Daviau: Yeah. But in fairness, we did 27 mining deals in Australia in the quarter. Like remember that that market is very, very active resource financing market. We dominate the lithium trade. We’re the number one mining underwriter worldwide. So it was a busy time. 27 equity deals there. And we’re the number one underwriter by dollar volume, by deal number in Australia in calendar Q1 this year.
Jeff Fenwick: Great. Okay. And then why don’t we talk about the wealth management growth there as well. I mean, that’s you referred to it in your opening remarks? Is it -- what’s the mix of the growth coming from is, is it bringing in some new advisor or teams into the platform? Is it -- I know you’re trying to capture more of the…
Dan Daviau: Yeah.
Jeff Fenwick: … assets that are being managed elsewhere within the business? So how has that been progressing?
Dan Daviau: Yeah. I think on -- all of -- we’re doing all of the above and it’s all going to take time, and it has been taking time, which is what we expected. So -- but we brought on 20 teams of advisors and most of them have worked out pretty well. We’ve also been converting those assets over the, for lack of a better term than non-fee paying assets to fee paying assets. But that’s takes a long, long time. You’ve effectively got to bring a whole new team involved to do that. But there’s an active effort in place to do that. But that will take time. So unbalanced, we’re doing both things. I’d say it’s probably more recruiting these days less converting, but both are impacting it.
Jeff Fenwick: Okay. And then maybe we could speak a bit about wealth management in Canada and your comments mentioned a range of opportunities for profitable growth and I know recruiting has been front and center for you. I imagine that gets a little more sticky through market volatility, but what -- what’s the outlook for the pipeline and I’m guessing there’s maybe the prospect of a platform add in there beyond just advisor teams or how do we think about it?
Dan Daviau: Yeah. Again, I don’t want to speculate as to the different things we can do. But to be clear, we’re continuing to hire advisors. I mean, we brought on a couple of huge teams in the quarter. We brought on another two weeks ago great additions to the team that’s continuing that pace of activity is continuing even with the volatile markets. So, we don’t want more of the same as not a bad thing. That being said, we do have a fair amount of capital, we continue to believe in the Canadian wealth management space and we are looking at other ways of related to our business, but other ways to grow our business there. So, hopefully, in the next couple of quarters, that’ll start becoming a little more tangible for people. So, yeah, we will continue to commit capital towards growing that.
Jeff Fenwick: Okay. Great. And the maybe one on the U.K. Wealth, I mean, the assets under admin they’re dipped a bit more, maybe might have expected, just wondering if is it a portfolio mix, is it affects changes or sort of…
Dan Daviau: Yeah. I think…
Jeff Fenwick: … 11% if there?
Dan Daviau: Yeah. Great observation. If you look at the currency that -- we report that number or assets in pounds, as well as dollars, and you’ll see most of that or all of that is pounds.
Jeff Fenwick: Yeah.
Dan Daviau: It’s just the Canadian dollar rally against the pound. So the business continues to grow. And in fact, obviously, the market will impact it and when the market was down, for sure, it’ll impact it. But we do have organic growth, aggressive program on creating organic growth and we’re actually cautiously optimistic that’s really working. So we’re again -- that’s where our money’s being spent and that’s where our efforts are being spent. Now that we’ve got all these acquisitions done, it’s organically growing that business and we’ve had really good progress in our first year of kind of doing that.
Jeff Fenwick: Great. Okay. Thank you. Thank you for that. I’ll re-queue.
Dan Daviau: Great. Great questions. Thanks.
Operator: Your next question comes from Rob Goff of Echelon. Please go ahead.
Dan Daviau: Hi, Rob.
Rob Goff: Thank you for taking my question. My first question would be on your outlook for inorganic growth in terms of could you talk to your priorities referencing advisory or geographically, Australia versus the U.K.? And have you seen private market values adjust as we’ve all seen capital or public market values adjust?
Dan Daviau: In wealth assets, potential wealth acquisitions?
Rob Goff: Yeah.
Dan Daviau: Is that your question, Rob? Yeah. No. Unfortunately, no. They’re still locked the expectations. That being said, where are we really buying? The place, historically, we bought has been in the U.K., right? Like we -- yeah, we’ve done a couple little things in Australia, nothing really in Canada on the acquisition front. But in the U.K. business, even the valuations haven’t adjusted. I mean, literally, the ink is still fresh on the deal we sign. We closed on three days ago or two days ago, where we spent £200 million to buy PSW. We’re not in the market at the second. I mean, there could be the odd little tuck-in thing. But we have, that’s a big acquisition for us and one that we want to make sure is right. That’s where the management team is focused, is integrating that in. So never say never, but it’s not like we’re buying something tomorrow morning, I can tell you that. So by that point, who knows, valuations may or may not adjust. I think what you’ll see, and you see it, you saw it in RBCs acquisition, obviously, in that market. I mean, even though the public market valuation was down, they paid a 60% premium. The price they paid was the same prices that we pay in the private market. So it’s easy to say it’s trading poorly, but they’re not trading wholesale poorly, they’re being bought at the same or better prices than the private companies.
Rob Goff: Okay. And then as a follow up, this may be more for Don, could you talk to how we might look at the profit margins going head the impact of non-compensation expenses as we all go back to work and travel, et cetera, do creep back up?
Don MacFayden: Well, I think, in terms of the non-comp expenses, a large part of that is fixed. So if there is a -- in a challenging revenue environment that will creep up just because of the fixed nature of those costs. T&E is a variable component to that. But I think we’re coming off of extremely depressed levels in particularly 2020, but obviously in 2021 as well. And so I think we’re getting back to more natural levels and there’s a natural, we have controls and policies in place to serve double FF  and get out of control or get excessive. But it’s an essential part of business to be doing some promo and product activity and it’s just natural that is going to sort of be higher this coming year than it was last year. Although, I think, our run rate towards the end of last fiscal year is probably a steady state kind of level for this coming year.
Rob Goff: Very good. Thank you.
Dan Daviau: That was very quick and easy. Thank you.
Operator: Your next question comes from Rasib Bhanji of TD Securities. Please go ahead.
Rasib Bhanji: Good morning. Thanks. Thanks for your time. I guess the first question would be on the comp ratio. So like -- more like a two-part question, but the competition this quarter at 60% lower versus last quarter? So first part, is the lower comp ratio, just a reflection of lower share based comp, given the lower share price in the first quarter -- calendar quarter? And then, secondly, how should we think about the comp ratio going forwards, if we go through a period of potentially softer capital markets activity and given the really tight labor markets, would it be fair to say that the comp ratio might move in slightly higher this year?
Dan Daviau: I think on the comp ratio, I mean, yes, stock price does have some effect on it. But it’s not totally attributable to stock price in terms of the stock component of our compensation programs. I think, quarter-over-quarter fluctuation in comp ratio will always contain a little bit of bumps and bruises as we go from quarter-to-quarter, I think the better way to look at it is really annual, because you sort of smooth out those quarterly bumps that naturally occur. So, I think, if you look at the annual comp ratio are just about pretty much on par a little bit down from last year. And I think that’s the right way to think about the comp ratio. I think it’s been held pretty steady at that 61% level year-over-year for several years now and we managed to make sure that it stays in that range. A large part of the compensation is discretionary bonus based. So, it can have some pressure on that as revenues decline or if revenues decline. But because the variable nature of the bonus compensation part of that, it will be less impactful than if it was sort of a really high fixed cost base.
Don MacFayden: Rasib, the comp ratio in our markets, even in lower revenue, in each individual market won’t become problematic, there’ll be the same, we manage to those comp ratios. So that’s pretty easy. The only time we get in trouble as an organization trouble that our comp ratio can go up beyond our range is if a jurisdiction just falls completely out of bed. In other words, there’s not enough revenue to even cover people to fix salaries and that’s kind of where you get in trouble. So occasionally, you’ll -- and it’ll be very understandable to you. So I won’t mention the jurisdiction. But let’s say, we have a jurisdiction, the comp ratio in that jurisdiction will go to 90%, not because there’s a bonus pool, because the salaries kind of eat into a very, very low revenue environment and then anomaly in a quarter -- in a particular quarter. But, overall, people shouldn’t be planning that our comp ratio will go up. That’s a covenant with our shareholders.
Rasib Bhanji: Okay. Yeah. Makes sense. If I could switch gears to capital markets then, could you speak to the pipeline and your outlook for the different geographies just related to investment banking engagements and advisory engagements? How would you say…
Dan Daviau: Yeah.
Rasib Bhanji: … it’s shaping like relative to the last maybe one or two quarters?
Dan Daviau: The pipeline is important. That’s not the problem. Yeah, we’ve got lots of people who want capital. It’s a question of whether we can sell it. So the new issue revenue is down. I mean, obviously, that’s not going to catch anyone surprised. But there are market windows, like last week in Canada, our Canadian team popped in four or five deals in a -- the one week there where the market was just accepting deals. But, obviously, from a new issue perspective, last year, our M&A revenue was up $300 million. Our new issue revenue was down $200 million. Don’t quote me on those numbers, but it’s close enough. So -- and right now in M&A, we’re doing in a quarter what we used to do in a year. Now that’s not just because the M&A markets up, it’s because we made a material investment and M&A boutiques and change the culture of the organization over the last several years, so which is good. Our M&A pipeline continues to be incredibly robust and we’re executing upon it. So absent something happening to the M&A market, liquidity falling away, massive volatility in the market, we continue to think we will execute. They are not probably at the exact same level we were executing before, because that was massive, but it continues to be a pretty robust environment. The issue on pipeline comes down to the new issue business, obviously. And that really isn’t a function of do we have customers. We have lots of companies that want to raise money in our core verticals. It’s a question of whether the market will open up and it’s not even so much price. They’ll leave an issue at these prices. It’s a matter of, do we have buyers and isn’t that a smart decision, long-term decision for those companies. So it’s not a perfect answer to your question, but that’s the beauty and the beast of capital markets is it’s very hard to predict three months ahead.
Rasib Bhanji: No. I appreciate the honesty. That’s helpful. And then, I guess, just one last question, Dan. So if we go -- if we potentially do go through a period of softer capital market earnings, how would you -- how are you feeling about your level of access capital currency and your ability to buy back shares if we go through that scenario?
Dan Daviau: Well, our capital position will continue to remain strong and we’re not worried about that in a reduced capital markets environment and the NCIB we’ve continued to manage appropriately from time-to-time. So that gets adjusted as we go forward. We’ve been active buyers, but it’s not been a huge amount.
Don MacFayden: Rasib, I’ve made a couple of additional points on that. Number one, we’ve always said, we’re going to pay a dividend commensurate with our wealth earnings, as our wealth earnings go up, we will increase our dividend, we’ve increased it five times or 25% year-over-year and as our wealth earnings recover and continue to go up, we will use our capital for that. We’ve also said that we’re going to use our excess capital and money that we made in capital markets to buy back our shares, that hasn’t changed. Query, what our excess capital, which is the nature of your question, it will be to buy back shares. The only proviso I’d make on that in the current market is not that we need to keep capital, because maybe the market will be volatile, opportunities change to, Rob Goff’s question, maybe valuations will change, maybe all of a sudden, there’s a better use of our capital than doing $100 million substantial issuer bids. So we’ll have to see, we’ll have to assess, we’re going to be flexible, we’re obviously in an immensely strong position, having earned $270 million last year and a similar number the year before, we obviously have a pretty good balance sheet here to manage through any business transitions and opportunities that arise.
Rasib Bhanji: Okay. That’s helpful. Yes. Those are all the questions. Thank you.
Dan Daviau: Great questions. Thanks.
Operator: Your next question comes from Stephen Boland of Raymond James. Please go ahead.
Stephen Boland: Good morning. Thanks for taking my questions. Maybe, Dan, just talk about you mentioned your focus in the U.K. and the wealth management practice is integration, so obviously no acquisitions over the next little while.
Dan Daviau: Right.
Stephen Boland: But I’m just wondering about your ownership level at 67%. What level are you comfortable at keeping that ownership level? Have you continue to think about further acquisitions down the road?
Dan Daviau: There’s no magic number there, as -- when you think about it, take the last acquisition we did of PSW, I think it’s illustrative in that. We bought PSW. It cost us £160 million roughly. We raised £100 million of incremental debt from U.K. normal lenders. And then the £65 million came from HPS, our financial partner and the transaction through a preferred share, which would value our interest in that company at $8, $9 a share that type of when you do all the translations of pounds back and our minority interest. The point that I’m trying to make is, we didn’t spend a penny of our own, if you think about as a public company, we didn’t spend a penny of our own capital to do that acquisition. We use debt and we used HPS equity, which values the business at 17 times, 18 times earnings, is by definition going to be accretive to us even though our ownership interest came down, we didn’t write a check and it was an accretive acquisition, so therefore our earnings go up. So no capital earnings go up. So we’ll continue to do that type of transaction as it comes up. We -- there’s no magic of 50% or any other number. That being said, to dilute us below 50%, we’d be pretty aggressive on the acquisition front to require that kind of capital to continue to grow that business. But certainly no magic prepare to get further diluted in that business accretively further diluted, if that makes any sense at all and we’ll continue to do that activity. That being said, you pointed out at the start of your question, we don’t have anything on the horizon, right, at this moment, we are busy focused on integrating a very large acquisition.
Stephen Boland: Okay. That’s helpful. And maybe just a more general question on your energy practice, past cycles we’ve seen oil and gas when they’re at this prices. But the banking being pretty robust, we have -- we haven’t seen that, I believe. I’m just wondering, in your mind, is this like a permanent structural change on the buy side in terms of demand for oil and gas product?
Dan Daviau: Yeah. You got to think about where we operate in the nature of oil and gas product and I don’t want to be too bearish on it. But our biggest capital markets businesses are in resource-oriented sectors tend to be Canada and Australia. In Canada, that’s not an attractive market from an oil and gas perspective, simply because the companies that are there are making lots of money and they tend to have strong relationships with balance sheet participants. So it’s a -- it’s we tend to excel where people don’t make lots and lots of money, they need lots of money and they don’t tend to have strong banking relationships, commercial banking relationships. So we don’t necessarily see the oil and gas market. The domestic oil and gas market is a very active market, plus we have a political environment in this country, which doesn’t really -- isn’t really susceptible to attracting foreign capital to the oil and gas sector, because difficult to get back to market so to speak. That being said, we let a $70 million deal last week, like we’re going to continue to be active in the sector. We do have a presence in the sector. We continue to be focused on it. It’ll mainly be on the energy transition sector, as opposed to the energy sector. We’ve done incredibly strong sustainability practice globally and that’s important for us in the U.K., that’s important for us in Canada, the U.S., obviously, and Australia. So I’d argue we’re more focused on energy transition, then we are on pure oil and gas, and your question was pure oil and gas.
Stephen Boland: All right. That’s all I have. Thanks very much.
Dan Daviau: Thank you.
Operator: There are no further questions from the phone lines. I would like to turn the conference back to Mr. Daviau for closing remarks.
Dan Daviau: Okay. Thanks. Those were all great questions. And Operator, I really appreciate it and everyone appreciate joining today. We’re going to be -- this was our year end results. So obviously it took us a little longer to report, we’ll be reporting again in early August. So look forward to speaking to everyone then. And of course, Don and I and Christina and others are available for questions. Thanks so much, and Operator, please go ahead and close the lines that would be great.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating. Asked you to please disconnect your lines and hope everybody has a great weekend.